Operator: Good day ladies and gentlemen and welcome to today’s Starwood Property Trust Third Quarter 2016 Earnings Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Mr. Zach Tanenbaum, Director of Investor Relations. Please go ahead, sir.
Zach Tanenbaum: Thank you, Operator. Good morning, and welcome to Starwood Property Trust's earnings call. This morning, the company released its financial results for the quarter ended September 30, 2016, filed its 10-Q with the Securities and Exchange Commission, and posted its earnings supplement to its website. Starting this quarter, all of the quarterly disclosure by business segment that was previously contained in the company’s earnings press release can be found in the company’s earnings supplementary. These documents are available on the Investor Relations section of the Company's website at www.starwoodpropertytrust.com. Before the call begins, I would like to remind everyone that certain statements made in the course of this call are not based on historical information and may constitute forward-looking statements. These statements are based on management's current expectations and beliefs and are subject to a number of trends and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. I refer you to the company's filings made with the SEC for a more detailed discussion of these risks and factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. The company undertakes no duty to update any forward-looking statements that may be made during the course of this call. Additionally, certain non-GAAP financial measures will be discussed on this conference call. A presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Reconciliations of these non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP can be accessed through our filings with the SEC at www.sec.gov. Joining me on the call today are Barry Sternlicht, the Company's CEO, Rina Paniry, the Company's CFO, Jeff DiModica, the Company's President; Andrew Sossen, the Company's COO; and Adam Behlman, the President of our Real Estate Investing and Servicing Segment. With that, I'm now going to turn the call over to Rina.
Rina Paniry: Thank you, Zach, and good morning everyone. This quarter once again demonstrated the strength of our multi-cylinder platform with each components of our business delivering strong earnings performance. Collectively we generated core earnings of $141.1 million or $0.59 per diluted share up from the $0.50 we reported last quarter. Our annualized net return on equity also increased this quarter to just under, 14%. I will begin our segment discussion this morning with the results of our lending segment. During the quarter this segment contributed core earnings of $101.3 million, or $0.42 per share in line with the first two quarters this year. We originated or acquired $553 million of loans with an average size of $92 million and a weighted average LTV of just under, 60%. During the quarter, we funded $457 million of these loans in addition to $132 million under preexisting loan commitments. Similar to past quarters, our loan fundings were made with recycled cash from this segment’s seasoned investment portfolio, which returned $1 billion during the quarter in line with our expectation. Sales of A-notes returned another $150 million. Our fourth quarter pipeline appears strong with $315 million of loans having already closed subsequent to quarter-end. All of the loans we originated during and after the quarter were floating rates. With expectations building for an increase in interest rates, it is important to note that nearly 90% of our loan portfolio is LIBOR based. Thus, we would expect to benefit in a rising rate environment. A 100-basis point increase in LIBOR would generate an additional $0.07 of net interest income annually with an incremental benefit realized by our servicer. That brings me to our investing and servicing segment, which contributed core earnings of $70.7 million or $0.30 per share this quarter, up from the $0.21 we reported last quarter. The primary driver of the increase came from the performance of our conduit, Starwood Mortgage Capital. This quarter SMC securitized a record $851 million in loans participating in five securitization transactions. I should note that one securitization price on the last day of the quarter that we expected it to price in early October. This shift is roughly $0.03 of core earnings from Q4 into Q3. We expect the securitization volume of this business to ultimately normalize by year-end, such that its full-year securitization volume will resemble that of prior years. Our CMBS book continues to perform well and in line with our underwriting. While our mark-to-market this quarter remains flat, the bonds generated cash of $85 million during the quarter from sales, principle repayments and cash interest. During the quarter we partnered on two new issues B-piece investing $25 million for majority stack in these deals and were named Special Servicer on $2.2 billion of new collateral. As of September 30, we were named Special Servicer on 155 trusts with a collateral balance of approximately $93 billion. And we were actively servicing $11 billion of loans and OREO consistent with the balance last quarter. Before I leave our discussion on the investing and servicing segment as most of you know, Hatfield Philips, our European loan servicing and advisory business rolls into this segment. This morning we announced that we contributed our ownership at this business to Situs in exchange for a non-controlling minority stake in Situs. We do not expect this transaction to impact core earnings going forward. I will now turn to our property segment. The asset business segment continued to perform well, generating a steady contribution of $11.6 million or $0.05 per share this quarter. In what will be a meaningful expansion of this segment, we announced today that we have entered into an agreement to acquire a stabilized high-quality portfolio of 38 medical office buildings, for a total purchase price of $838 million. The portfolio is well diversified across 14 states including New York, Texas and Indiana. The assets were sourced and will be managed by our manager Starwood Capital Group, with equity investment expertise and market presence allowed us to take advantage of this unique opportunity. The assets are 95% laced to quality tenants including investment grade health systems with 87% of the portfolio under Triple-net leases. The portfolio carries a weighted average remaining lease term of seven years, as an average cash-on-cash yield of approximately 10% and will be levered conservatively at a 65% LTV. We expect this transaction to close in December. And finally, I’ll add just a few brief comments about our capitalization, investment capacity and fourth quarter dividend. We ended the quarter with $8.9 billion of debt capacity and a debt-to-equity ratio of just 1.4 times consistent with last quarter. If we were to include off-balance sheet leverage in the form of A-Notes, our debt-to-equity ratio would be just 2.2 times or 2 times excluding cash. Given our current investment capacity, we continue to have adequate liquidity to execute on our core business strategy including the expected closing of our medical office portfolio in Q4. You will notice that our GAAP diluted share count as of 9/30 increased from last quarter by just over 3 million shares, which impacted our book value per share calculations. This increase was primarily due to the in-the-money portion of two of our convertible notes. As we have discussed in the past, this portion is required to be included in our diluted share count under GAAP and it’s largely a function of our stock price at the end of the quarter. For the fourth quarter we have declared a $0.48 dividend which will be paid on January 13 to shareholders of record on December 30. This represents an 8.8% annualized dividend yield on yesterday’s closing share price of $21.89. With that, I'll turn the call over to Jeff for his comments.
Jeff DiModica: Thanks, Rina. Since our IPO over seven years ago, our shares have had a total return of 140% or 12.9% annualized. We believe our diversified low leverage, low LTV credit-centric business model is highly sustainable through market cycles and that we have set up a company that performs well in a rally. And we believe will outperform if and when the cycle turns. Our Special Servicer picks up revenue and as Rina said, we will also be more profitable in a higher rate environment. As we have said in the past, certain cylinders in our business are susceptible to some level of earnings’ volatility. But overall we expect to see a steady contribution from our collective cylinders overtime though maybe not all at once. That is the strategy. We believe this is a great advantage for our multi-cylinder platform that allows us to make the best risk reward investments by sector every day and not be forced to chase investments in any one sector. We have talked about the combined per view of Starwood Property Trust and Starwood Capital Group as a borrower, lender and servicers and that only in combination do we get a full view of the relative value of the opportunity set in front of us. Despite caution on our capital deployment earlier in the year, our multi-cylinder platform has delivered a strong performance for our shareholders so far in 2016, generating $1.59 of core earnings for the first nine months of the year. We try to run every facet of our business conservatively from our credit process and independent internal underwriting and credit function to our LTVs, from our leverage which is by far the lowest of our peers to our hedging strategies where we fully hedge rate risk and foreign exchange risk and will always pay more to lock and term financing. Our lending book volume was down slightly this quarter after a strong second quarter and what is shaping up to be a very strong fourth quarter. A few loans we spent significant time on in the quarter ended up going to more aggressive bids. And as we have said in the past, we will not change our risk return tolerances by chasing the [indiscernible] just to increase loan volume. As we have always done, we will pivot and use the other cylinders of our business rather than chase tighter deals solely in our preferred core lending business. And that was again apparent this quarter as we added to our equity book with the MOB portfolio and in property purchases out of our Reese [ph] division. We increased our BPs purchases, we were named Special Servicer on three deals and we temporarily allocated more balance-sheet to our conduit origination business, all at very attractive returns. We remain bullish on our ability to deploy capital accretively in our lending segment. Peak market loan maturities are coming in 2017 so there will be plenty of deals to choose from and at a time when banks are feeling the brunt of new regulations and pulling back on transitional and HVCRE or High Volatility Commercial Real-Estate deals. Loans that fall into the HVCRE bucket typically have future funding requirements beyond typical TIs and LCs, and will require bank to hold approximately 50% more capital thus reducing their economic return and making them less aggressive competitors for those loans. We are very optimistic about the coming 12 months and have continued to hire origination staff to swift through the opportunities up. On the right side of our balance sheet, we continue to see more lenders want to fund us and at lower threads and expect that to continue as their economic returns after regulatory capital charges are better there than competing with us on most of our loans. Our conduit business significantly outperformed this quarter as Rina said. But what I am most happy with this year is that our high turnover platform was profitable the first four months of the year despite a historic widening of spreads in January and February. We came through an extremely difficult time in a market unscathed where many of our competitors pulled back or shuttered their operations allowing us to take advantage of a better lending environment this spring and summer and allowing us to pick-up market share which paid-off this quarter. We increased our hedges, turned our book over more quickly and earned our success every day and in every transaction rather than letting the market direction dictate the money we will or will not make. There will be has and have-nots in the conduit business as a result of the pending Dodd-Frank risk retention rules that go into effect December 24, and you continue to see other shops leave the business. They don’t have our seat at the table as a valued contributor multiple shelves, as a large investor and as the largest Special Servicer. Larry Brown and his team have built a meticulous business we’re all very proud of and expect to continue to perform very well. Barry will speak more to our medical office portfolio. Demographic trends are clearly favorable in this sector combined with limited supply, long leases and long-term debt allowing us to lock-in on very high cash yield for the foreseeable future. With that I’ll turn it to Barry.
Barry Sternlicht: Thanks Jeff, thanks Rina, good morning everyone. I have a terrible cold. So, I’m going to keep my comments relatively brief. Let’s start by saying that I think the most important thing for the company is really the environment that we’re operating in. It’s probably one of the more exciting times for the company since the formation of the company when it was clearly a dearth capital for lending is no significant dearth today, we have the government warning the banks about getting over-extended to real-estate. But at the same time you have the structural changes coming into the market as Jeff mentioned where banks are reluctant to increase their LTVs, the capital treatments, requirements are awful. And especially construction lending has become almost impossible for major banks at large volumes. It’s become, considered high volatility real-estate assets and have incredibly difficult capital requirements that has two implications for us and for the market in United States. One: supply is going to harder to add than it’s been probably in the last 20 years. It’s going to be expensive to build, costs will go up. And if cost go up then rents have to go up to make those projects worthwhile. I think that’s good for existing portfolio bodes well for LTVs, and obviously we’re positioned to do what we’ve done in this year selectively choose our own construction loans. The biggest competitors we have today are actually not other banks, even other non-banks like us we sealed a number of hedge funds you’ve probably read it recently about the Children’s Fund in London making large construction loans, billion-dollar construction loans. And if you think about that loan in hedge fund format let’s you’re getting L plus 8, you’re clipping 20% of the profits with no hurdle and you’re getting 2 point management fee on that capital. So they’re very aggressive. It is very hard to compete with them. And they’re doing very large deals. And because they’re doing is mezzanine loans in scale, they’re one of the better performing or actually whole funds in the world. So, it’s kind of interesting situation but we’ve seen then in billions of those situations now. And they’re not really playing hedge fund they’re playing lender, real-estate lender. It’s fascinating. So, overall, I think again, we had an excellent quarter. The team is tirelessly working on the scale of HVI for a while, our business never really exploded in Europe. Our earnings were beginning to decrease we opted to stay in the deal and joint venture with Situs, which has bigger platform they’ll do a better job of managing that business into the future. We could have just sold it for cash but we decided to take a chance so they could build something useful and worthwhile in real-estate servicing and advisory space. It will mean that our overhead will drop $20 million on balance sheet so that was a smooth way to transition that workforce primarily based in Europe also of our balance sheet. And we wish them the best of work. We already spoke about our conduit business which really had an epic quarter and also the fact that we completed securitization on the last day of the month when we’re supposed to be in the fourth quarter. But as always that business continues to do very well with a very balanced team and a very, disciplined approach. And my only regret is we can’t double and triple its size. And the rest of our business continues well and we’re released. I’ll take a moment on the equity side of what we did in the third quarter. I think we made a decision as a firm that we would probably move our equity, book up to 25% of our assets. I think we were something like 15% or so going into the quarter. And the reason we’re doing that is to expand duration. And because the biggest problem we’ve had is, Rina mentioned $1 billion dollars of repayments in the quarter, we saw Blackstone’s earnings and they had a large repayment. As we want to actually put the capital out and keep it out. And we want to keep it out in a manner that the cash flow we expect will be growing they’re built in bumps into the MOB portfolio and their credit leases as Rina mentioned 87% of them are Triple-net. So there is, it’s pure cash, it’s not cash-less TI, there is no TI. And it’s very good buildings in the core buildings, cherry-picked and their core buildings to the facility that they service whether hospitals or regional centers. So, we thought this was an incredibly high-quality portfolio. I was perfectly happy to own it myself which I do because I’m a major shareholder of the company. And like this long-term prospects and its consistent and completely in line with what we’ve done with the other investments we’ve made in the portfolio which are high-end. And we also put fixed rate debt on the portfolio. So, we’re not playing arbitrage of fixed versus floating on the cash flow stream either. And we lowered the leverage to a level that we felt it was commensurate with our continued quest to impress the rating agencies. But we realized the portfolio and we would like to grow the business. It is a platform investment we will cherry-pick additional investments with the team that actually fit our model. And so it’s a business we’d like to grow. But we believe that this will balance our business and continue to help our growth. And we ask ourselves when we look at these equity deals, we would like to own these assets in 20 years. And I could say unequivocally we would like to own these assets in 20 years. So, we’re very excited about the transaction, we work really hard on it. And we would secure it. And that will close in early December presumably. And with that, I don’t really have much more to add. The environment’s good, the team is solid. We continue to build our origination capabilities. I’d like to see us pick-up our lending activities, the special servicing business going back into its prime. We’re super busy with the $11 billion of assets now in the servicer again. Stuff is moving a little more quickly through the servicing block. But it’s still a profitable business and we continue to look at our assets in that portfolio and take advantage of special opportunities to buy some of those assets out of trust using the fair-value purchase option. So, with that, I will take questions. And I apologize for my voice.
Operator: [Operator Instructions]. And first from JMP Securities we have Steve Delaney.
Steve Delaney: Hi, good morning everyone and congrats on a strong quarter. I think the market must have read a different press release than I did this morning. But that’s the times we live in too I think with the Fed and the Election. I’d like to start with the large billion-dollar pay-off in the quarter. Rina, I was curious if you realized any incremental revenue on that pay-off in terms of your maintenance or something of that nature?
Rina Paniry: So, we did but it’s not really any different than what we’ve realized in past quarters. So, every quarter we’ve got about roughly that amount in pay-offs. And we do have yield maintenance that accretes through the interest income line. So, what we had this quarter was actually not any different. In fact it was maybe $1 million less than what we recognized last quarter.
Steve Delaney: Got it. So nothing out of line there? We’re just trying to figure out, just kind of the pieces of the bead if you will versus our estimate. Would it be possible Jeff to comment on what you’re seeing in pay-offs. This is obviously going on and ties into Barry’s comments about long duration assets. But we’ve seen it, with all the commercial movie treats over the last two quarters just you’ve got to lend a lot of money just to stay flat in your portfolio. So, any help you could give us about what the outlook is for fourth quarter would be useful.
Jeff DiModica: Yes, I have the number here somewhere. It does trail-off. A number of the construction loans that we wrote in 2012 and early 2013 have paid-off. And that was a significant amount of the growth in the last couple of quarters. It does tail loss. Rina, do you have the exact number of what our expectation is?
Rina Paniry: For Q4, sorry Jeff, are we talking repayments?
Jeff DiModica: Yes, for Q4.
Rina Paniry: Yes, Q4, we’re projecting about $0.5 billion right now.
Steve Delaney: Okay. So pretty good decline. Okay. Thank you.
Barry Sternlicht: Wait, let me comment on that. We’re commensurate right the more transitions out that the better the spread we can get when we make the loan out. But pass-through the equity, it fixes the asset the faster they want to refinance us. So, what we’ve done in the quarter is we worked to actually improve the spreads on our credit facilities, our lines from the banks and they’ve been willing to do so as we. And we can actually move up the credit quality which will meaning, you’ll make a more permanent kind of loan, finance it maybe 30 basis points cheaper than we’re used to and maybe even slightly higher leverage. And have a higher - we only have today with more duration. So, it’s a bit of an issue for us. The kinds of deals we’ve been able to do in the past, they were real-estate underwritings, primarily and we say okay, they need some space, we’ll give the money for the TI, renovate this hotel and we underwrite that. It’s great. We continue to do that. But we also want to add this concept of doing it slightly lower coupon loans finance that are tighter spread for similar returns on the floor. So, we’re totally focused on that. And what happened in the repayment, there were no surprises to us in the quarter. We kind of knew this. And one thing that’s interesting, our earnings this year, if you recall, we sat on lot of cash in the first quarter because the world was wobbling. And we told you we’re doing that. And so for the year, so far, we’ve had much larger cash balances than we would normally have. And despite that we’re still going to earn, how, do I say this, within the estimates of a streak. And we did so actually without deploying as much capital as we normally might have. And we are working hard to put the capital out. So, we do not need to raise equity to buy the MOB portfolio, you should point that out and with finite capacity. We will always go to look, we’re consistent from the start, bigger is better, bigger is better, bigger is better, would this company be better as a $10 billion company than a $5 billion company? Absolutely. But we have to have good reasons to deploy capital accretively in order to raise any additional capital. And as you pointed out, we got plenty to do with our existing cash and availability today.
Steve Delaney: That’s helpful. I appreciate it Barry. And I guess to close out, another large direct real-estate investment. And Rina shared 10% cash-on-cash. Could you generally comment, one of you on when you’re looking at opportunities such as this, when you compare it to your principle lending business, what is sort of your range? The 10% sounds high for cash-on-cash and I guess it has to do with the nature of these particular properties. But what would sort of your range of sort of an unlevered and levered return on equity that you would expect over time as that real-estate portfolio grows to 25% or more?
Barry Sternlicht: We looked at a lot of deals. And the market doesn’t pay us for IRR. And that’s one of the things I learned when server hotels. So, I do a 20 IRR in a piece of paper that has a three cash-on-cash yield coming out. And I believe it’s a 20, I have to sell it to realize that IRR. And then you’d say what are you going to do for me tomorrow? We’re much more focused on the current yield and make them consistent supporting our dividend and covering our costs of running the vehicle. So, yes, that’s why there are so few of them. It’s very hard to find investments that will pay you double-digit cash yields out of the box. And that they are pure that are actually pure meaning that we don’t but below the line we’re not spending half of it on TI or capital improvements. So we’ve looked, and we’ve been talking about this for four or five years, we look at every triple-net lease company. One of the reasons we do this which is not as obvious is that if we buy equity, it creates a deprecation shield for us. And over time it’s theoretically possible that we could have a lower payout ratio and preserve cash. So, we’re not, it gives us that option that we wouldn’t have if we didn’t have the deprecation shields in the company. So right now we’re fine with our dividend. And it’s actually probably in excess of what we have to pay from a 95% of taxable income because of the acquisition of the equity portfolios. But it used to be the case that we were a pure interest income company that had to payout 95% of everything they earned. Now it’s depreciation shield, and in a negative climate if that would occur, we have some room to payout every penny we earned. So it’s just, it’s a nuance to what we’ve been doing that’s kind of important.
Steve Delaney: Yes, it sounds like it provides a little more balance too in your decision making. So thank you all for your comments this morning.
Barry Sternlicht: Thank you.
Operator: And moving on, our next question comes from Douglas Harter with Credit Suisse.
Douglas Harter: Thanks. Did you guys quantify the exact level of conduit earnings this quarter and how that compared to last quarter?
Jeff DiModica: Do we want to do that Rina?
Rina Paniry: Sure. We can obviously do that. So, Doug…
Jeff DiModica: I wasn’t saying, I know we can, I said, do we want to? Larry asked that’s not to talk about it, so up to you. We are in three different locations - that’s why we’re talking this way to each other. Rina, are you going to make the comment?
Rina Paniry: I’ll comment. So, in Q2 you know Doug that we’ve reported securitization profits of $11.7 million, this quarter it was $48.3 million.
Douglas Harter: Okay. And I know you said the timing of one deal pulled forward. I guess, how should we think within that, obviously a wide range, what is kind of a normalized level of profitability or something that we could expect over a normalized 12-month period?
Rina Paniry: I mean on…
Barry Sternlicht: Yes, I mean, Doug, as the first quarter was anomaly because of originating loans into a rapidly widening CMBS market kind of Q3 was the opposite of that. And it was a bit higher because of the increase in total volume that came through in the quarter. So, I think the other quarters are probably more equalized kind of running relative to the type of volume that it typically does.
Rina Paniry: And I think what we’ve said Doug is - we expect over a year that his - not only his earnings but his volume would normalize as well. So, if you look at sort of the profit that he earned last year on roughly call it $2.2 billion of volume, I think will probably hit that approximate $2 billion of volume this year as well with, again on par for the year overall we’d be very close to the profitability of last year.
Douglas Harter: Got it, okay. That makes sense. Then, obviously you’re making some progress in deploying excess liquidity with the property buy. I guess can you talk for look for being able to grow the lending business kind of net of pay-downs in the coming quarters?
Jeff DiModica: I guess I’ll touch that. We did have a very strong second quarter. We do expect to have a strong fourth quarter. We have ample cash available to continue to grow the lending business and to close on the large pipeline that we hope to finish up on for the fourth quarter. 2007 was obviously a large origination year you’ve heard I’ve talk about that on the servicing side. There was also a lot of 10-year fixed rate loans that were written outside of the conduit world in 2007 and 2017 will have a significant amount of maturities. We’re increasing staff to look at all of these maturities and make sure that we’re in front of every opportunity. And as Barry and I both said on this call, the banking environment is changing. And there will be more opportunities for us to pick up things that have historically gone to a bank market. So we’re making sure that we have the resources to do that and we’re pretty excited about what we think is in front of us in 2017. Additionally, as I said in my comments, we’re funding ourselves better. And Barry spoke to it as well. We are funding ourselves tighter. Higher LTVs are available to us if we want to take more leverage. And we’re optimistic about the lending book in 2017. And as Barry would say that is our core business. And it’s a business that we would like to see grow and as the opportunity is there. And we will continue to grow that at the expense of other businesses.
Barry Sternlicht: I want to add one thing. I mean, we’re really picky. We are maybe because we’ve been doing this for 30 years. There are a lot of deals that we don’t do that we just let someone else do it, it might work out or they might not. But so far we’ve had an unblemished track-record of no losses. And we really, I’m probably wrong on we have a large investment committee but I would say that I’ve probably been long two or five times deals worked out and we didn’t make them. So, we make each loan, we look at every little and large loans, and when just that we raise our LTV, it doesn’t mean our origination LTV on our side, he meant that the warehouse lines, we can borrow more against the assets than previously, so we can maintain our ROEs on net invested capital. So, it’s - we’re really looking for quality, we’re really looking for good assets. And there has been some we had a loan in Florida on a hotel across the street from the hotel that we built. And I was really worried about it because the hotel wasn’t making its projections. And our loan was like $54 million or something. It was a construction loan actually. And despite the fact the hotel made very little money which was sold for $100 million. So and we retired, we paid-off. I thought - I was actually looking forward to getting a hotel, half of construction cost. But we lost it and it was too bad. That was like [indiscernible] close on. But the environment for assets is still robust. On the equity side there is a lot of capital. And I expect that will continue despite the fact that REIT thing to be correcting, because that of the fear of rising rates. It’s little overdone it’s probably a hockey stick. And ultimately the retail gets supported by their dividend yields. But right now if anybody panic in the streets for the REITs and I don’t really see why that is unless people thought interest rates will rise in December and it continues rising materially which I see being the case. So, I think we’ll get through this and it’s good for our business. We’re happy. And people are nervous we’re delighted. That’s our best investing time.
Jeff DiModica: And Barry, a build quickly on what you said. Coming to this shop inside Starwood, it was surprising to me to see just the level of detail that goes into debt underwriting. We underwrite debt here through an equity lens. We make a similar investment committee memo to what you would do if you were buying the property. It’s 60 to 90 pages long. We have a separate underwriting function under our Head of Credit that writes that, that does all the confirmatory due diligence. And it is not done as most of our competitors were the originators, originate alone and bring something through with a much shorter credit deck and bring it through the entire process. We have a separation there that’s very distinct and it’s distinct for a reason. Credit is extremely important and we take it very seriously. And I think it’s an interesting thing to note versus how other people look at their business as well as once we write the loan, we have our own internal asset management. So we will hand the loan along the way to our own internal asset managers who will asset manage it for the life of the loan, again allowing us an opportunity for ReFi at the end and to create the best borrowing experience that we can.
Douglas Harter: Thank you, guys.
Operator: Moving on. Our next question comes from Jade Rahmani with Keefe, Bruyette & Woods.
Jade Rahmani: Thanks. Can you discuss the risk-five rated loans that I believe matures in December and how you’re thinking about that?
Jeff DiModica: Barry, do you want me to take that?
Barry Sternlicht: Yes, sure.
Jeff DiModica: So, we were able to purchase a first mortgage that is - that goes along with the mezzanine that we owned. And in combination, because of the fact that we now own a piece of paper that has the higher attachment point of the mezz. We have the risk rating on the combined piece fairly high. We do believe that rating has very little to do with what the ultimate cash flow of that property will be. And at the end of the day, we did have to extend that loan. And whenever we hit an extension, we will tend to be more onerous on the property’s rating. And we believe with high certainty that that loan will pay-off in 2017. And we felt fairly good about that.
Jade Rahmani: Thanks. On the acquisition side, I’m sorry, just the loan loss provision what did that relate to?
Rina Paniry: The same - go ahead.
Jeff DiModica: The senior portion of the senior bond on the same loan, excuse me.
Jade Rahmani: So, you have a 5% provision on this loan?
Rina Paniry: So, Jade, under GAAP actually, it’s actually two different loans. So the senior and the mezz are treated as separate loans. And the senior is what you’re seeing driving the increase in the provision this quarter. It’s the senior that’s rated a 4 and has 1.5% provision on it, which drove the increase. The mezz is rated a 5 has always been rated a 5 at least since last quarter. So there is no change to our provision resulting from that piece.
Jade Rahmani: Okay, thanks. From my vantage point it seems that you guys have been highly diligent in your view of additional acquisitions. In terms of the types of deals you’re looking at, can you just give any color on maybe the split between equity and debt? You did mention growing the equity portfolio to 25%. But in terms of what you’re looking at, what’s the split between equity and debt and also maybe portfolios versus actual operating businesses?
Barry Sternlicht: I’ll take that. I mean, we’d always like to buy a portfolio business we could grow, so the MOB business we obviously can grow. I would say the multi-business we entered with the Wilson portfolio, we always buy multi, so they are good for us. If we can find the yields that we want we’re taking out risk. And I think I answered your question, I think we’ll take the equity book around 25% is what we’re thinking. And it really has been an effort to extend duration because it is really hard to keep putting money out, get 18-month, 24-month or 28-month duration loans even though they are. And I think that’s one of the interesting things about marketplace, I think it’s going to change. I think construction lenders might be able to make mini-firms. And I mean, this construction debt can become so difficult and so expensive, it’s going to go from 300 over to 600 and 700 over. And so, I think the next 12 months, our goal, as we said, our core goal is to build our lending book, that’s our number one business. But it’s simply, we’re being patient, we know the markets are changing, the regulation is going to affect on B-piece, as our retention provision to be under December. And then the whole thing is going to change, the whole game is going to change. I think everyone is confused. Nobody knows exactly how this is going to work other than we’ve already seen the banks get very cautious on lending on construction loans. It’s going to be really hard to build a hotel. You’re probably going to have to do it with offshore capital base or something like that. It’s going to be really hard. It’s really good for existing investments all the existing REITs are going to have longer duration because the markets are healthy across the board as they’ve been in my 20 or 30 years of doing real-estate. I mean, there are pockets of weakness, hotels in Miami, hotels in New York, or multi in New York, multi in San Francisco. But in general, the market is pretty strong and occupancies remain pretty high on every asset class in real-estate right now.
Jade Rahmani: In terms of risk retention, I was wondering if Adam from L&R could comment on what do you think the level of conversations, are around horizontal strip structures right now. It seems like the vertical strips have been somewhat successful. And there is some confirmation on the horizontal side. So, how do you think that plays out in the next few months?
Adam Behlman: Well, yes, you’re correct. We’ve seen one deal close one deal priced both from the same source wells. And we are seeing as much activity being discussed on both the vertical and horizontal basis. So, I think that we are just at the point where people are having conversations about what’s going to happen in January and February. And this is probably a better time to ask this quarter next quarter because we’re seeing both, I think people are trying to explore both options at this moment.
Jade Rahmani: Thanks very much for taking my questions.
Operator: Our next question comes from Charles Nabhan with Wells Fargo.
Charles Nabhan: Hi, good morning. Most of my questions have been asked but if I could follow-up on Jade’s question on the CMBS market. I know there is a lot of moving parts. But as we stand today I was wondering if you could comment on your expectations for volumes - securitization volumes in the non-agency market for 2017 as well as how your expectations for yields on B-piece next year as well?
Adam Behlman: You want me to go Jeff.
Jeff DiModica: Yes, please.
Adam Behlman: I think there are two conflicting things going on simultaneously. As far as volume goes, you’re going to have the risk retention rules going into effect on December 24. At the same time we’re going to have the massive wall maturities coming due in 2017. So, if I just put my hat on now, I’m going to guess they’ve offset each other in some ways, maybe slightly higher volume because the markets are in good condition. And especially with the abilities, it seems like the people that do the vertical transactions should keep things in relatively normal order. I would expect that some of the lenders potentially don’t come out of this because they can’t afford the change in cost of funds that maybe associated with the markets moving here. So, on that front I think we may see some lenders move out but I expect increase in volumes potentially in others due to that. And in addition, as far as B-piece pricing, really too early to tell, obviously it depends on which way this goes. If it goes vertical I would expect kind of benign movements because of the market just 95% of the same size. If it goes more vertical, I’m sorry more horizontal, I think it is slight increase in yield due to the liquidity issues that are associated.
Jeff DiModica: I would think of it simply this way. If the vertical happens and the entire market goes vertical, it’s fine for us, it’s business as usual because 95% of what was yesterday at B-piece will be available for us to continue to do what we do tomorrow. If we go horizontal or L-shaped, we’re going to pick up either yield or structure, and by structure I mean, a better attachment point, a higher rated bond for the same yield if we don’t pick up yield. Obviously we have more to pick up and more to gain in horizontal or L-shaped world, but a vertical world by no means hurts us, 95% of what was there yesterday is there for us to invest in tomorrow just like we always have. So, we’re looking forward to however it plays out.
Charles Nabhan: Great. And as a follow-up I was hoping you could comment on any trends you’re seeing in the special servicing business, specifically what you’re seeing in terms of inflows and resolutions and whether there is any imminent resolutions that could have an impact on earnings over the next couple of quarters?
Rina Paniry: I don’t think that any one resolution would have an impact on earnings going forward. I think steady state on $11 billion that’s in the portfolio. So, just to give you a sense, this quarter we were flat but we had movement of $1.1 billion come into the portfolio and another $1.1 billion transferred out. So like I said, I don’t think it’s any one asset that would drive that.
Operator: And moving on. We’ll hear from Jessica Ribner with FBR & Company.
Jessica Ribner: Good morning guys, most of my questions have been answered and answered. But a question on the equity portfolio. Barry I know that you mentioned you want assets that you want to own for the next 20 years. And I think widely the medical office building space has been seen as demographically favorable and all that. Are there any other segments of the market you would be looking at similar to the medical office business, meaning demographics are great, the pricing is good, it’s good to get in or are you more looking opportunistically?
Barry Sternlicht: I’d say we were considering a large office portfolio, which I kind of like. But I was worried about the current yield. We’re kind of addicted to paying our dividend from cash we earned currently. And we want to keep it that way. Even though interesting from the accounting standpoint we don’t really look at the GAAP accounting, we’re well aware of that. But if you straight-line a rent in an office building that’s going up I’d say, you’re going to have a dividend, a cash dividend, you’re going to have GAAP earnings but you’re not going to have the cash because there is some portion of that rent is phantom. It’s just that’s GAAP but it’s not actually cash. So, I think you can imagine which asset classes are far more stable and that we’d be interested in. But the security of the income stream, the credit quality of the tenants, it’s the roller-risk schedules. So it’s almost, we have a couple of portfolios that we could have done but I think when you see one you say, it does meets all our criteria you just try to get it. And yes, it is, the longer you hold these things and we’re not predicting exit cap rates in 10 or 20 years, inconsistent with what we’re purchasing. But if we can get these yields, the cash flow up, it takes a lot of risk off the residual. And I think we’ve looked in Europe as you know, we’re not adverse to realizing some of the profits we have in the equity book too, I think we’ve mentioned on prior calls that we think we’re weighing the money on our business in Dublin, the rents have almost doubled in Dublin, which was not our pro forma. So, what we thought would be a solid core investment, it’s turned out to be a hell of a deal and probably 30 plus IRRs. So we will look to actually recycle some of that capital as yields are falling in that case maybe the 4s. Then it makes no sense to keep investing capital that that what would probably be a levered 8. So we have to probably take off some of that capital that’s nearly deployed into something else. So we’ll do that. I mean, we have I think everything we’ve done is working out pretty much as we expected so far. And so I would say, we would look at, imagine mobile home parks, they’re fiercely fought for and things like that, things that are very stable, good long-term cash generators.
Jessica Ribner: Okay, thank you. And a question about the principle lending business. Obviously you guys have talked about it a lot and everyone is talking about the bank pull-back, HVCRE and how all of those regulations really are going to benefit the non-bank lender. But you also mentioned that competition this quarter was tight. And we appreciate your conservatism in not chasing loans at any price. But how do we think about that going forward. I mean, do you guys think about the competition remaining tight? Do you think some of these lenders are going to back-off from the market? How can we think about that really?
Barry Sternlicht: Look, a capital holds a vacuum. And the search for yield globally goes on across all our clients and all our asset bases. So while the commercial banks might set out to take share on an LTV basis and act more like insurance companies. Insurance companies were very aggressive lending 50% LTV at tight spreads, competing ends and trying to beat the CMBS execution. So I imagine the commercial banks are going to evolve or be pushed into that kind of position, which means if you want to borrow 65% or 70% or 75% you won’t be able to do it from any bank, especially those that have already extended their books. But I do think there will be plenty of competition, it’s not going to be - we're the only guys standing. We’re not second - the largest guy in our space is Black Badger too. I do think we’re small on a global basis we’re not that big a company. And you do see as I mentioned hedge funds and non-traditional guys that are not maybe performing so well in their core businesses, moving into this space and making loans and they will often times because they’ll usually go high on LTVs than we’re willing to go. So, and they’re not really with typically 100-meter real-estate background. So it will be took in our favor, it’s not going to be just us, the only lender in the world. So I do think the landscape will be better for us. I think, we’re all going to see and we have our theories, we’re not going to share with you on how we think this might evolve over time. But I think even the banks don’t know. Sorry, I’m coughing.
Operator: And Jessica, did you have anything further ma’am? All right, with no response, then no further questions in the queue. I’d like to turn the floor back to Mr. Sternlicht for any additional or closing remarks.
Barry Sternlicht: Thank you everyone. We look forward to talking to you again next quarter. And as always our team is around to answer your questions after the call. Thank you. Have a great day.
Operator: And ladies and gentlemen that does conclude today’s conference. We appreciate your participation. And you may now disconnect.